Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the AngioDynamics Third Quarter Fiscal 2013 Financial Results Conference Call. [Operator Instructions] This conference is being recorded today, Monday, April 8th, 2013. And I would now like to turn the conference over to Mr. Bob Jones. Please go ahead, sir.
Robert Jones: Thank you, operator. Welcome, everyone, and thank you for joining us for the AngioDynamics conference call this afternoon to review the financial results for the fiscal 2013 third quarter, which ended on February 28, 2013. The news release is available on AngioDynamics' website at angiodynamics.com. A replay of this call will be archived on the company's website. Before we get started, during the course of this conference call, the company will make projections and forward-looking statements regarding future events, including statements about revenue and earnings for fiscal 2013. We encourage you to review the company's past and future filings with the SEC, including, without limitation, the company's Forms 10-Q and K, which identify specific factors that may cause the actual results or events to differ materially from those described in forward-looking statements. [Operator Instructions] And with that, I would like to turn the call over to Joe DeVivo, Chief Executive Officer.
Joseph M. DeVivo: Thank you, Bob, and welcome, everyone to our third quarter conference call. As you all know, we've pre-announced our third quarter financial results in early March, as our global sales came in well below the expectations that management set. I'll open up today giving you my view, and then turn it over to Mark for a review of our financial results in more detail, and we'll share with you our perspectives on the quarter, as well as outlooks for the fourth quarter. We, of course, are going to save anything regarding 2014 for the fourth quarter call that occurs in the August time frame. But so my comments today will be brief as this is really a follow-on to the prior call, and I'll save more detail for whatever Q&A you wish to have. The third quarter was very challenging from a sales perspective, as it was significantly less than what our expectations were. The greatest contributor to our shortfall, in my view, after having some more time to dial into it, was the disruption that we've seen in our U.S. sales force. We simply underestimated the time it would take to find the cadence of our new business. We've made a significant change to our go-to-market strategy, which not only impacted our customer relationships, but also internal relationships between sales management in the field. Each of our 3 organizations worked hard to learn new products and new territories and, in many ways, we've made significant progress. Despite these near-term growth challenges, we shouldn't lose sight of the fact that AngioDynamics is fundamentally a much stronger company today than it was a year ago. Last year, we faced numerous product recalls and regulatory issues. Our oncology business was reeling on the heels of losing LC Beads and our vascular portfolio was subscale, having limited growth drivers. Since then, we've made significant progress in improving our quality and regulatory situation, organized ourselves in the 3 distinct businesses and have a shot at growth in the future. Financially, we're stronger as well. In last year's third quarter, we posted $0.24 per share adjusted EBITDA performance. While this year, factoring in dilution from the transaction, it's $0.37 per share, a 60% improvement per share. Also our cash generation is up 47% year-over-year. Strategically, we have significantly broadened our Vascular Access portfolio to keep [ph] more effectively with GPOs and IDNs. We've also added long-term growth drivers in BioFlo, AngioVac and Microsulis to help us refuel our growth engine in the coming years. Moreover, we're generating greater cash flow. As I mentioned, our adjusted EPS outside our amortization expense is [indiscernible] a year ago. While there's very stiff competition, we believe we can compete and win. Today, these new products contribute less than 20% of our total sales and don't yet move the needle. We know that these growth rates will improve. And as they improve, the overall company growth will be pushed higher. We're excited about the market response we've received in our growth initiative. As I mentioned on our last call, our BioFlo PICCs represented over 10% of our overall PICC sales already. And we firmly believe that our acquisitions and investments position us to become a more competitive force in our markets that we serve, and we're committed to delivering a top line and bottom line growth for our investors that we've established. I've met with our teams, I know what we need to do, and we are generating our plans that are going to create greater focus, accelerate our growth drivers faster and intent on closing the fourth quarter to have a better year in '14. So with that, I'd like to turn it over to Mark Frost, our Chief Financial Officer. Mark?
Mark T. Frost: Thank you, Joe, and good afternoon, ladies and gentlemen. As you can see from our earnings release, our net sales were in line with our pre-released announcement on March 7. We did deliver better results than expected on adjusted earnings, EBITDA and cash. Overall, as Joe has commented, our key growth drivers performed well in the quarter and we are focusing on stabilizing our core business. I'll start my discussion with third quarter net sales. Comparison of the year-over-year net sales performance is adjusted to include sales from Navilyst and exclude LC Beads net sales from last year's financial results. We have provided this analysis at the product line level in the schedule with the financial tables at the back of the release. All net sales numbers I am providing are on a pro forma basis. We spent significant time last call explaining our shortfall on growth, so I'm going to be more limited in my revenue comments. Global net sales for the third quarter decreased 2% compared to the prior year. The Peripheral Vascular business decreased 4% year-over-year, caused primarily by lower cardiology procedures, competitive pressures in Fluid Management and Venacure EVLT, where we saw lower elective procedures and some competitive impact, with an added comment that last year's quarter benefited from the strong launch of the 1470 laser. In Vascular Access, revenues also declined 4%. However, we did meet our expectations in ports and dialysis, but a lack of tip location and a continuing sales learning curve negatively impacted our PICC growth. Oncology/Surgery net sales increased by 10% but below our expectations, caused primarily by capital delays in NanoKnife. In the quarter, pricing was relatively stable as average selling prices across the company was essentially unchanged from a year ago. We saw neutral pricing in Peripheral Vascular, some modest pressure in U.S. ports and dialysis catheters and strength in U.S. oncology. From a geography perspective, U.S. decreased 5%, while the international markets grew 10%. The international results were below our expectations, caused in part by capital delays. As I said in the last call, we believe this is a bit of an anomaly and expect the growth to improve from third quarter results. Continuing down the income statement for the quarter, gross profits totaled $41.2 million or 50.5% of sales. Excluding the acquired inventory step up, Q3 adjusted gross margin was 51%. During the quarter, we reset our plant [ph] production, which moderated the negative impact of lower volume. However, we will incur some of the unabsorbed cost variances in the fourth quarter. Turning to expenses, operating expenses totaled $41.1 million, including $5.2 million of acquisition and restructuring items, of which $1.6 million is associated with the Navilyst, Vortex and Microsulis acquisitions; an additional $1.6 million related to our writeoff of the benefit in renal therapy product line; as well as $1 million for onetime legal costs related to our Bard case and $0.9 million associated with closing our U.K. Cambridge site. In addition, we recorded a benefit in the quarter of approximately $1.6 million, reflecting a reduction in accrued compensation based on our results being below plan year-to-date. Now the GAAP loss per share was $0.03, while pro forma EPS was $0.08 per share, which was above our pro forma expectations of $0.04 to $0.06. We anticipated initially a $ 0.06 to $0.07 hit from lower revenue margin offset in part by OpEx actions of $0.02 to $0.03 within the quarter. The accrued compensation benefit brought us to $0.08 for the quarter. Year-to-date, our pro forma EPS was $0.28 compared to $0.19 in the prior year. The reconciliation items are detailed in the GAAP to non-GAAP schedules included in the release. Our EBITDA results were also stronger than expected as well, coming in at $6.5 million or $0.19 a share, versus $0.4 million or $0.02 a share in the prior year. For the year, we generated $24.2 million or $0.69 per share versus $13.8 million or $0.55 a share. Adjusted EBITDA was $12.7 million or $0.37 a share versus $6.1 million or $0.24 a share, a 54% per share improvement over prior-year results. Again, a detailed reconciliation is provided in our news release. Now despite the revenue challenges, we generated $10 million of operating cash flow in the third quarter, driven by strong operational financial discipline. This compared with $6.8 million of cash flow last year. During the quarter, we used $11 million to acquire Microsulis and their microwave technology. We ended the quarter with $18.8 million in cash and investments and $144.4 million of debt outstanding. Also of note on the balance sheet, we increased our contingent liability since quarter 2 by about $13.8 million, primarily reflecting the potential earn-out contingency for the Microsulis acquisition. In addition, we were able to maintain flat inventories compared to the end of the second quarter despite the volume impact because of my earlier comments suggesting [ph] production within the quarter. We expect to reduce inventory in the fourth quarter. I'll now turn to a discussion of our guidance for fiscal 2013. And as you can see from our news release, we have lowered our full year expectations from 4% growth to 2% lower net sales at the midpoint for the year. This implies $85 million to $89 million revenue in the quarter or a potential decline of 3% to 8% compared with last year's fiscal fourth quarter. The quarterly guidance is based on the explanation provided at our last call, that we would expect quarter 3 results to improve by one, 4 additional days; two, continued strong performance from our growth drivers, AngioVac, BioFlo and microwave; and three, improved international results. The range is wider for the quarter because of capital implications and the uncertainty in EVLT. An important point for our lower growth in the fourth quarter is we closed the Navilyst acquisition in the prior year fourth quarter, which meant both sales forces were pushing hard on the revenue front, making the prior year comparable more challenging. Now on the earnings front, we're estimating $0.32 to $0.35 adjusted EPS for the year and $0.04 to $0.07 in the fourth quarter. We are anticipating sequential improvement from quarter 3, but we do not expect the accrued compensation benefit to repeat, and gross margins are being dampened [ph] by absorbing some negative variances from volume reduction in our second half plan [ph] . We also are guiding to a wider range than usual because of potential mix implications and its impact on our gross margins. We do expect EBITDA and cash to continue to demonstrate improvement as we carefully manage the business. With that, I'll turn the call back to Joe for his final comments.
Joseph M. DeVivo: So thanks, Mark. So in conclusion, we've made some bold moves. Some of them have paid off, and others have yet to. But we're confident, we have [indiscernible] plan to be successful. We're very committed to reestablishing our momentum and getting the company back to a growth track. We have the pieces in place to deliver, improve sales growth and higher levels of profitability. We believe in our strategy, and with markets at home, we'll do a better job of protecting [ph] the trajectory of our progress. Now it's simply a matter of execution as it's always been, and we'll continue to work hard to meet the goals that we've laid out for you. And with that, we can open it up for questions. Operator?
Operator: [Operator Instructions] And our first question comes from the line of Jayson Bedford with Raymond James.
Jayson T. Bedford - Raymond James & Associates, Inc., Research Division: Just to start, I guess on the access side, I think you mentioned that ports and dialysis kind of met expectations. It looks like they were down combined about 3%, 3.5% in the quarter. Is this kind of your expectation for these buckets of business here until you get BioFlo and other products in the fold?
Mark T. Frost: Yes, it's close to our expectation. I think dampening it a little bit, Jason, is some of the sales learning curve we're having with the attrition we've had in the sales force. So we would expect to do a little better than that in the future. But certainly, the big ramp won't happen until we get BioFlo onto both our ports and dialysis products.
Jayson T. Bedford - Raymond James & Associates, Inc., Research Division: And what's the timeline on that?
Mark T. Frost: Well, the regulatory filings are due during the summer. So our hope is by the end of first quarter, beginning of second quarter, that we would have regulatory approval on commercial launch in those products.
Joseph M. DeVivo: Yes, right now our dialysis products are ahead of the ports, and we're hoping sometime in July, if everything goes to plan, and receive the dialysis clearance and a couple of months later for ports.
Jayson T. Bedford - Raymond James & Associates, Inc., Research Division: And any change in terms of the timing on tip location or any update there?
Joseph M. DeVivo: Yes, the only update is our partner still goes back and forth with the FDA on questions. The first quarter is still a possibility, but it may push into the second. That's probably as best I can give you.
Jayson T. Bedford - Raymond James & Associates, Inc., Research Division: Okay. And then lastly for me and I'll get back in queue. Any way you can either talk about the contribution from Microsulis in the U.S.? And then just kind of bigger picture, the new users that are coming on board, do they expand the base? Or are these current RF users looking to make the transition to microwave?
Joseph M. DeVivo: I think in the near term, it's about converting either competitive microwave business, which exists. Both Covidien and a start up company do have some microwave share in the U.S., so it's about converting out microwave share. And then second of all, it is -- there are many RF customers in the entire RF market who are looking at where microwave might be an improvement for them or may create another arrow in their quiver. We do see people -- some people switch wholesale to microwave, some people add it in for certain ablations, but other trickier ablations, they'll use RF. And the marketplace is growing between 5% and 10% as the overall market dynamic. So it's something where our RF business has been flat in the U.S. It's been under pressure. While we've won some business, we've been just -- we've been attritting due to microwave. And this now gives us the ability to get back into the overall thermal ablation growth part of the business. And so I think there's opportunity to grow and converting our own customers, but more importantly, converting out competitive microwave and also competitive RF.
Operator: Our next question comes from the line of Tom Gunderson with Piper Jaffrey.
Thomas J. Gunderson - Piper Jaffray Companies, Research Division: So just a couple of quick ones, guys. Jason asked about ports and dialysis. On the PICC sales, I know you've said this 10% number before for BioFlo. But that's still impressive given the environment that's out there. Can you give us a little more color on that? And Joe, where do you think that levels out over the next 2 to 3 years, so as a percentage?
Joseph M. DeVivo: We're not charging that much more premium for BioFlo, and BioFlo is I think -- we're charging just about 15% premium over standard PICCs. And I think as time goes on, we would be intent to have virtually 100% of our PICC business convert over to BioFlo. It's not -- we're not niching it and increasing the price so high that you have to be selective with patients. And so far, we've seen accounts who have converted to BioFlo just convert to it lock, stock and barrel. So on an account-by-account basis, it's 100% conversion over, and we would hope to get the whole product line there. It's so -- it's frustrating at this stage because anecdotally we see the results. It's going to take a year to get into peer-reviewed publication, clinical trial results, if not a little bit longer, so where we can stand on top of peer-reviewed prospective data that shows a substantial improvement in clinical outcomes. But what we see anecdotally, on a site-by-site basis, is not subtle. And so we don't see in that 3-year time frame, any reason -- once the appropriate clinical data is out and people see how well a product works, and when we've gotten over that threshold and the time it takes to get there, I wouldn't see anything in our portfolio not being BioFlo.
Thomas J. Gunderson - Piper Jaffray Companies, Research Division: Got it. And then just a couple of housekeeping. My -- our biggest delta on the income statement for Q3 was on tax rate. Maybe it's in the release and I missed it, but could you repeat or give me what you're expecting the tax rate to be going forward?
Mark T. Frost: Yes, the tax rate, because of being so close to break even in some of the quarters, will probably be about 39%, 40% on an adjusted basis for the year, Tom. [indiscernible] it will go down next year.
Thomas J. Gunderson - Piper Jaffray Companies, Research Division: Plenty of room for it.
Joseph M. DeVivo: Yes. Again, that's also on the P&L. I mean, from a cash perspective, all of our NOLs and other tax benefits, we're not paying tax. That's why we're testing the market on whether or not we use an adjusted EPS that takes amortization out and also looking at ways to bring more cash metrics into our valuation, because our noncash GAAP is completely irrelevant to the cash generation of the business.
Thomas J. Gunderson - Piper Jaffray Companies, Research Division: Got it. And then my last question is on the medical device tax. You're one of the first to report in calendar year, at least partial for you guys, of '13. Is that -- I don't want to say going smoothly, is it going as expected and is it anywhere close to being old news for you now? Or is it still...
Mark T. Frost: It's pretty much getting close -- I think every -- you had a few vendors, Tom, try to test the waters and charge you, actually the tax. And we said no just like our customers have said no. And I think that's fully working its way through the system now. I think everybody knows what the running rate -- the run rate rules are.
Operator: Our next question comes from the line of Jason Mills with Canaccord Genuity.
Jason R. Mills - Canaccord Genuity, Research Division: So Joe, first starting with the Fluid Management business, you mentioned some competitive issues. Could you talk about pricing in that area as well as your product pipeline and what you think your ability to combat pricing may be, if in fact you're seeing it out there in the marketplace? Just and generally speaking what you're expecting out of your Fluid Management business as you enter fiscal 2014.
Joseph M. DeVivo: First off, starting 2014 and going forward, our view on Fluid Management is it becomes a very strategic business for us when we get into automated power injection, as we mentioned at our analyst call. And that, as each day goes by, is seemingly a smarter and smarter decision. We're excited about the growth we can get in that segment. Between now and then, it's -- we've not performed admirably since the transaction. It's been a lot of learning curve for the sales force with all the change. From a pricing perspective, on existing accounts were basically 0. We haven't seen a lot of price on the existing account base. But to the extent that we've lost some share, it's purely been based upon competitive price. And as we go out to new business, the new business pricing is very, very low and we have to be very aggressive to convert that business out. So we definitely are in the price game within that segment. We're not seeing a lot of marking down the existing business. But of course, to the extent that there's share decline, it's based upon pretty significant price competition. So we know that, that as we are competing, we are getting more aggressive. We may see a bit of price erosion as we get more aggressive defending our base business. I don't think we were as in tune in the first couple quarters and we did lose some share. And the bleed through of that share is -- comes through very clearly in the third quarter. But the team is, I think, much more stable on the business now. Our quarter-to-quarter ADS is much more stable than it was. And even though the year-over-year looks like junk, the quarter-to-quarter is pretty flat. So a, as we go forward, we will see some pricing compression because we aren't going to allow ourselves to lose the share we lost in the first half of the year; b, we will ourselves to become more price aggressive as there's many new account opportunities, and we will compete for it. And if we're going to be forced to play in the price game, we'll have to play in that until we have a new technology that lets us shift the whole dynamic.
Jason R. Mills - Canaccord Genuity, Research Division: Let's stick there for a second. Is the Fluid Management business -- is it conducive to bundling? And can you give us sort of an objective viewpoint of your portfolio relative to your competitors portfolio if, in fact, it is conducive, that business, to bundling, where you maybe have advantages or disadvantages when it comes to competing with the entire sort of portfolio that goes into the account, with management as a big piece there?
Joseph M. DeVivo: Our view is we don't have portfolio issues. We match up very well. We actually are -- historically have been virtually the creator and the market leader of this segment with NAMIC, and had always been perceived as being a much higher-quality side [ph] . The business has devolved into being very commoditized and price-sensitive. So the competitive advantages are not as important as they once were. So we just simply have to be more price competitive. And yet, when it gets to competitive bidding, we will be competitive, and it's -- we don't think it's a portfolio issue. We think we have what we need to sell. We just need to have sales people who are more comfortable in their seats, understand the technology and have the relationships. And as we compete for new business, we'll be as aggressive as we need to be. We've been doing a pretty good job operationally, taking cost out of the company and cost out of operations and we see we have a runway to do that. So we're not going to lack in our ability to compete.
Jason R. Mills - Canaccord Genuity, Research Division: And then last question for me, in terms of free cash flow. What will be, I'm sorry if I missed it, you're free cash flow guidance for this year? And sort of as you move into next year, you don't have so many moving parts. What can we think about fiscal '14 free cash flow being, insofar as you're willing to kind of give us, directionally, a range at this point?
Mark T. Frost: Sure, Jason. I would say, for our fourth quarter, we should slightly improve on the free cash flow. Our CapEx is running a little higher, and that should moderate. And as we drive, get more revenue growth and less one-off items, I would say -- I can't give you really a number for '14, but it should be ahead of the run rate that we're running at right now, and should improve as we go through each quarter.
Jason R. Mills - Canaccord Genuity, Research Division: What's your free cash flow year-to-date again?
Mark T. Frost: Well, for the last quarter, it was roughly about $8 million when you take out the CapEx, or $7.5 million.
Operator: [Operator Instructions] Our next question comes from the line of Charles Croson with Sidoti & Company.
Charles Croson - Sidoti & Company, LLC: Just a couple of quickies here. Most of my questions have been asked. Can you remind me what -- why you think the international side, in terms of the lower growth than you expected, is an anomaly in terms of the capital component? And then I guess just overall, if that could -- if you could add some clarity, that would be helpful.
Joseph M. DeVivo: Well, one data point is not a trend. We've had a lot of success internationally over the last 8 quarters. While they grew 10%, which is still admirable, it wasn't anywhere near to the expectation. We've done a deep dive with the international group, and they've identified a significant pipeline of opportunities. They've committed to a number in the fourth quarter. And unless they don't deliver on those commitments, I have no reason to not believe where they think the business is. They do -- we've already seen some NanoKnife sales already in the fourth quarter, which usually doesn't happen so soon. And so, which is obviously some spillover from the prior quarter that didn't get closed. So they're calling for it. It's not -- they definitely are feeling environmental pressures and global economic pressures, but also they have a clear line of sight on what their opportunities are, and they're calling for it. So one data point is not a trend line. If all of a sudden they don't live up to their commitments in this quarter, then we'll have a different view. But as of right now, they're definitely calling for a bit of a recovery in the fourth quarter.
Charles Croson - Sidoti & Company, LLC: Okay, that's helpful. Next question then is on the tip location, and we might have gone over this a couple of times now, but obviously that's hurting you guys in terms of selling some of the vascular products. But can you just kind of remind me, can nurses just use their other tip location technology with BioFlo? Or is the competitors, are they just bundling their products in there and that's just making it a bit more difficult for you to sell your product?
Joseph M. DeVivo: Well, Teleflex is -- VasoNova is an open system. And so yes, so accounts, if they wish, can use the VasoNova system with our BioFlo. And we do have several accounts. It was some pretty prominent accounts who do, do that. It started [ph] off a little for us and there are -- it causes definitely some challenges in account management. As far as Bard is concerned, Bard sells their stylet with their PICC. And so in order to use the Bard system, they can use it with ours, but you'd have to burn their PICC, which is not economically viable, and that's why they do it. They create an artificial bundle for their tip location device. We actually have -- we're evaluating BioFlo in many accounts, and they do throw away the Bard PICC and use our BioFlo during those evaluation periods. But again, it's not a long-term sustainable model. We're hoping to get our own system.
Charles Croson - Sidoti & Company, LLC: Okay. And just one last quick one. On R&D, it was a little bit lower than we were expecting. Is this kind of a level we should model going forward? Or is this just a slightly lower quarter?
Mark T. Frost: Charles, it's slightly lower. So it will go up to more where it was in the second quarter and the fourth.
Operator: Our next question comes from the line of Larry Haimovitch with HMTC.
Larry Haimovitch - Haimovitch Medical Technology Consultants: A couple -- several of my questions were answered, but a couple I wanted to pose. One, I didn't hear much -- or maybe I missed it on IRE, did you provide any update and if you didn't, could you provide a bit of an update for us on IRE in terms of the FDA progress, et cetera?
Joseph M. DeVivo: Well, we still have very active dialogue with FDA. We met with them last quarter. They gave us some very specific areas that they would like to see, and we're working on providing them that data. I think that sometime in the fourth quarter, we'll have another conversation showing them where we are, to try to still get a pancreas IDE approved. I'm out of the guessing or the predicting game, Larry, but we're making steady progress. We dug a hole for ourselves in the past, we got too far ahead of ourselves, and now we're doing the work, with a much better line of communication than we've ever had with FDA and a clear line of sight of what we think they would like to see from us to move forward. So we're actively compiling the type of information they want to see to get us approval for a pancreas IDE.
Larry Haimovitch - Haimovitch Medical Technology Consultants: So that's your sole focus right now? That's the IDE you're shooting to get first.
Joseph M. DeVivo: For the U.S., U.S. right now, our sole focus is getting the pancreas IDE. I will say that our international team has made a tremendous amount of progress recently in prostate ablation. And there's seemingly and the EAUA just occurred -- or EUA [ph] just occurred, and there's a lot of talk on localized treatment of cancer within the prostate. And a lot of activity in several sites and looking at NanoKnife as a much safer way of treating a focal lesion. Historically, it's always been you treat the prostate, where now some of the trend is maybe being more aggressive in treating the actual lesion. And NanoKnife seems -- has seemed to be a little bit of a darling in that trend that's occurring. So we're in a wait-and-see, but 3 NanoKnifes last quarter were sold to urologists. And we're seeing kind of an accelerating interest in the urology community in Nano. So as we're seeing a little bit of a pause on pancreas, because we do need to get this IDE approved, it means a lot to a lot of people to get that data out. We are seeing a kind of a -- a bit of an organic pull in the urology community, which is having us dust off our U.S. IDE, which we may revisit given that trend going back into the IDE for prostate. We originally didn't feel it was the best use of resources because there was a significant amount of other therapies, as you know, Larry, in that treatment of prostate. We wanted to go to where we can have the greatest unmet clinical need in pancreas, which fundamentally is still the right decision. But what's happening, from what we're seeing, is a bit of a move away from radical prostatectomy. We're seeing a desire for more energy sources to treat the smaller areas of the prostate and NanoKnife fits that bill. And so we might be onto something that could be beneficial.
Larry Haimovitch - Haimovitch Medical Technology Consultants: And is there any issue on reimbursement, Joe, when patients are being treated for prostate cancer with IRE?
Joseph M. DeVivo: So we're talking right now international. I mean, we have reimbursement issues everywhere, since we don't have specific clearance, as you know, in the U.S. And so that is one of the areas that we're not seeing this huge inflection in revenue, because that area is, until we get a specific clearance, is very difficult for us to get a reimbursement code. We are seeing internationally -- as you know in prostate, there's a very strong private pay in prostate, in that it might be something that could be a benefit. Now the other part of it is our European team has met with a couple of the large markets that are interested, where we have clinicians in doing prostate, and they are talking to the local authorities about what we would need to do to get reimbursement.
Larry Haimovitch - Haimovitch Medical Technology Consultants: And then on the laser therapy side, I heard a quick comment, I didn't catch much of the color on it though. What is the color on that part of the business, Joe?
Joseph M. DeVivo: What color do you want, Larry?
Larry Haimovitch - Haimovitch Medical Technology Consultants: Well, in terms of the growth or lack of growth, the competitive environment, et cetera, et cetera?
Joseph M. DeVivo: Well, we're trying to diagnose the delta between the business. I think we have that -- we currently have that product in our Peripheral Vascular portfolio, which has our Fluid Management business and AngioVac. I'll say the Fluid Management business has been a bear to get on top of, and there's been a lot of activity. And I think it's taking some focus from our sales force off of the EVLT. So we simply have to -- that's one of the issues that we're dealing with, with all the change in the sales forces, getting our focus back and our trajectory up. We also didn't feel, at the beginning of the year, even in our existing accounts, procedures are simply slower. So did that provide you the color you're looking for?
Larry Haimovitch - Haimovitch Medical Technology Consultants: Yes, that's great.
Operator: [Operator Instructions] And our next question comes the line of Charles Haff with Craig-Hallum Capital Group.
Charles Haff - Craig-Hallum Capital Group LLC, Research Division: I thought that maybe the oncology number was a little bit better than the pre-released number that you put out there, and Peripheral Vascular was a little bit lower. Is that correct? And if so, what was the reason for the delta?
Joseph M. DeVivo: Chuck, I don't recall -- that was a week after we closed the quarter. I don't recall that we broke it out specifically. I think we just gave the overall top line number. So this will be the first time that we're going into those [indiscernible].
Mark T. Frost: Yes, we just focused on the difference in expectation at the last call, Charles. We didn't give specific numbers.
Charles Haff - Craig-Hallum Capital Group LLC, Research Division: Okay, sounds good. And then you mentioned that there was some uncertainty around EVLT, and that's why you kind of bracketed the guidance with a little bit wider range than you typically do, when you answered the previous question or by saying that refocusing the sales force is meaning some of the -- maybe the reason. But are there any other reasons for why you're a little bit less sure about EVLT going into next quarter?
Joseph M. DeVivo: Well, right now this is usually the time of year where EVLT really strengthens with weather and the procedures, it is a very seasonal procedure. And we had a very weak start and a very weak third quarter in that category. And then it has been a bit of a challenge for us to decipher the self-inflicted wounds versus the market wounds, the market dynamics. And so we don't want it to be too tight a range. We want to see how the organization performs and what happens in the marketplace in the fourth quarter. Our sales force has been through a lot. And even though they've called for some pretty high numbers and we've consecutively missed them, it's difficult at times to differentiate. I think the most conservative thing for us to do is just to look inside and say, we've asked for a lot of change in a very difficult environment within -- with historically some very well-entrenched salespeople, and with all the change, created swim lanes for competitors to cause some difficulty. So when we look at Fluid Management and we see a reduction in overall cardiology procedures, it's difficult to know how much is self-inflicted, how much is market. When we look at EVLT, we're trying to figure out the same. But normally the fourth quarter is an incredibly strong EVLT quarter. And I think we did a little bit better than last quarter so far, even though I shouldn't talk about fourth quarter, I think it's kind of relevant as we're going through all of these changes. But we want to keep a wide range because it's just not as clear as to how much is self-inflicted and how much is environmental.
Charles Haff - Craig-Hallum Capital Group LLC, Research Division: Okay, great. And my last question is on the IDN side. Should we be thinking about other IDN wins as you move forward? Or could this be just kind of a one-off, which is what you've shown in the last couple of quarters here?
Joseph M. DeVivo: I think that's core to our strategy, Charles. The thing is that these contracts don't come up every quarter. A lot of these contracts take a -- there are cycles in which you compete, and I think to the extent that new ones come up and we go through that process, it is a part of -- a very core part of our strategy. It's just one that is going to take years to develop, not quarters. But we do -- with one of the first IDNs that we had the opportunity to bid on, when it was a wide open opportunity, we did win that opportunity. And as new opportunities come up, there's a couple of big contracts coming up this summer that we're going to have opportunities, sit with those IDNs and GPOs. And there will definitely -- we will be at the table in a way that we were never before. But that's -- you measure that in years, Charles, and it takes time for that to manifest. But it's core to our strategy and no one will be as well-poised to compete with the market leader as ourselves.
Operator: Our next question comes the line of Robert Goldman with CLK.
Robert M. Goldman - CL King & Associates, Inc., Research Division: Yes, so just 2 questions. Could you tell us the year-on-year decline in the accrued compensation costs that you mentioned? And could you give us the change in dollar sales for NanoKnife in the quarter year-over-year?
Joseph M. DeVivo: I think our NanoKnife sales were up, I think, $700,000 year-over-year. I think it's a dip delta of $2 million to $2.7 million, if that's correct, Mark? Correct me, that's from memory.
Mark T. Frost: Yes, right.
Joseph M. DeVivo: And then the sales force, I don't have the year-over-year delta because, unfortunately, it seems like almost every third quarter around here we take our bonus accrual. So I don't have what we had in the third quarter of last year. But as Mark had highlighted, this quarter it was $1.6 million.
Robert M. Goldman - CL King & Associates, Inc., Research Division: Okay. You do single out though, some compensation cost as a source of the above-expected earnings in the quarter.
Mark T. Frost: No, it won't -- Bob, it will not be the reason for the improvement. The improvement will be because of the stronger revenue. It won't repeat, was the point I was trying to make.
Joseph M. DeVivo: That's the first 3 quarters of our accrued compensation taken out. It doesn't recur.
Robert M. Goldman - CL King & Associates, Inc., Research Division: I see. And it didn't impact the third quarter?
Mark T. Frost: We had a benefit in the third quarter from that.
Robert M. Goldman - CL King & Associates, Inc., Research Division: Right. And can you quantify that benefit?
Mark T. Frost: Yes, it was $0.03, $0.04. Well, I said $1.6 million. That was the benefit.
Joseph M. DeVivo: If you look at the transcript, Bob, you'll see he -- we pretty -- he clearly laid it out there for you so you can see those numbers. But if you have any questions, please give us a call and we'll go through the details with you.
Operator: Our next question is a follow-up question from the line of Jason Mills with Canaccord Genuity.
Jason R. Mills - Canaccord Genuity, Research Division: Mark, just 2 housekeeping items on the P&L. Going back to the tax rate in Tom's question, in the footnotes of your guidance, it assumes 36 million diluted shares outstanding and 37% tax rate. I thought I heard something else to Tom's -- the answer to Tom's question.
Mark T. Frost: Yes, it is 37%. It's not 39%. I said 39%.
Jason R. Mills - Canaccord Genuity, Research Division: So 37% for the quarter and that will average out to 37% for the year.
Mark T. Frost: Correct. There you go. You got it.
Jason R. Mills - Canaccord Genuity, Research Division: That's helpful. And then as you look at the middle of the P&L for the fourth quarter, obviously the R&D was down considerably in the quarter. How should we think about the sequential trends there, and then generally speaking for OpEx in the fourth quarter?
Mark T. Frost: You're going to have a little bit of a pop back up, like R&D will probably be more close to second quarter. So you're going to have -- that will be more the run rate, I would expect, is closer to the second quarter run rate.
Jason R. Mills - Canaccord Genuity, Research Division: And then a natural step-up, given revenue step-up in the SG&A line? So it will be, probably will be...
Mark T. Frost: A little bit. We are doing a few things. But yes, it should be a little bit of a step up.
Operator: I'm showing no further questions in the queue. Mr. DeVivo, please go ahead.
Joseph M. DeVivo: Okay. Well, thank you very much for joining us. We hope it won't be a practice to have 2 conference calls per quarter. I take the expectations that we set for the year and the expectations we set for the quarters before personally. It was -- I most certainly feel it was my error in being excited about our future. Our excitement about our future is no different than it was before. It's just we realized there's a hell of a task at hand getting the organization to build momentum again. We compete against some pretty formidable competitors who have definitely taken the opportunity of our change. But we also believe that the growth drivers we have and the strategy we have in place will be effective. The comparables for this third quarter that we're just speaking about, and also the next fourth quarter, will be very difficult comparables, because we had 2 entrenched organizations driving to some pretty big plan. And so when you look at the third and fourth quarter year-over-year, they will be ugly. But when we get to the first quarter '14, it will be apples-to-apples as -- from a cost reorganization, from the overall structure of the organization, we will be very apples-to-apples. And our year-over-year comparisons will be more normalized, and we'll be able to grow from those levels. And we should have anticipated the destruction and the challenges in revenue. But as we also identified, the cost savings, the earnings power of the business, the cash generation of the business has never been stronger. How strong we are within our operations and quality and our ability to do the right things by FDA, our orders of magnitude are better than they've ever been. This company is stronger and more capable with more growth opportunities than ever. So we can lament my mistakes in setting expectations and we can lament where we are at the moment, but this -- we won't be here for long. Thank you for your attention.
Operator: Ladies and gentlemen, this does conclude our conference for today. Thank you for your participation. You may now disconnect.